Operator: Welcome to the Brookfield Infrastructure Partners 2014 Second Quarter Results conference call and webcast. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. To join the question queue, simply press star and one on your touchtone phone. Should anyone need assistance during the conference call, they may signal an operator by pressing star and zero on their telephone. At this time, I’d like to turn the conference over to Tracey Wise, Senior Vice President, Investor Relations. Please go ahead, Ms. Wise. 
Tracey Wise: Thank you, Operator, and good morning. Thank you all for joining us for Brookfield Infrastructure Partners’ Second Quarter 2014 Earnings conference call. On the call today is Bahir Manios, our Chief Financial Officer, and Sam Pollock, our Chief Executive Officer. Following their remarks, we look forward to taking your questions and comments. At this time, I would like to remind you that in responding to questions and in talking about our growth initiatives and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks and future results may differ materially. For future information on known risk factors, I would encourage you to review our annual report on Form 20-F which is available on our website. With that, I would like to turn the call over to Bahir Manios. Bahir?
Bahir Manios: Thanks Tracey, and good morning everyone. In my remarks, I’ll focus on funds from operations, or FFO, which is a proxy for cash that we generate in our business. Our results for the quarter were strong with most of our operating businesses performing well. We reported funds from operations, or FFO, of $180 million or $0.86 per unit, which translates to a 62% payout ratio that sits comfortably at the lower end of our long-term target range. For the first half of the year, our results were up 12% on a comparable or same store annualized FFO per unit basis, surpassing our targeted goal of 6 to 9% of organic growth that gets generated without additional fresh capital from BIP. For the quarter, our results were flat compared to the prior year as the second quarter of 2013 benefited from the contribution of assets that were subsequently sold as part of our capital recycling initiative. Our utilities business generated FFO of $92 million in the period compared with $83 million on a comparable basis and $96 million in total for the second quarter of 2013. Total results in this segment were lower, reflecting the impact of the sale of our Australasian distribution operation in the fourth quarter of 2013; however, the comparable results were strong as our businesses benefited from higher connection activity in our U.K.-regulated distribution business, inflation indexation, a larger regulated asset base, and lower costs resulting from margin improvement programs at a number of our operations. Our transport business generated FFO of $94 million in the second quarter of 2014 compared to $83 million in the prior year period. The increase in FFO was driven largely by the greater contribution from our Brazilian toll roads, where we doubled our ownership in September 2013, as well as stronger results in our ports business where we benefited from both the newly acquired North American west coast port operation and better performance at our European port operations. This increase in FFO was partially offset by $6 million of non-recurring interest income from a favorable stamp duty ruling at our Australian railroad that was reflected in prior year results. Our energy business generated FFO of $16 million in the second quarter of 2014 compared to $18 million in the prior year period. Results were negatively impacted by lower transportation volumes in our North American gas transmission business and a warmer winter that affected volumes in our U.K. energy distribution business. On the financing front, subsequent to period end our Chilean electricity transmission business completed a $375 million financing comprised of notes that were rated Baa1 by Moody’s and BBB by Standard & Poor’s. The issuance, which was almost seven times oversubscribed, has an 11-year term and a coupon of 4.25%. The proceeds from this financing will be used to repay debt that is maturing in the second half of 2014 and 2015. From an operations perspective, most of our businesses performed well during the quarter and we are encouraged on a number of fronts. Most noteworthy was our Australian regulated terminal where we experienced record capacity utilization of over 95% in June. Given that we have take-or-pay contracts in place with premium mining companies, our financial results for this business are not impacted by volumes handled at the terminal; however, this level of throughput is encouraging as it demonstrates that in this low-price environment, our customers are continuing to ship significant volumes through the terminal. Our railroad saw another good quarter with volumes up 5% from the prior year as a result of higher iron ore and grain shipments which were ahead of our expectations. Finally, our ports business also experienced a solid quarter with results improving compared to the prior year. The business in the U.K. has seen an overall 15% increase in underlying volumes on a year-to-date basis compared to the prior year primarily due to improved economic conditions and several customers expanding their operations. In response to increased demand from our customers, we are investing $35 million to complete an upgrade of the quay to accommodate these increased volumes. In addition, we are in the midst of integrating our North American west coast container terminal into our ports platform. We expect to see a meaningful contribution from this business with the completion of its modernization program at the end of 2015. Finally on the organic growth front, as you know, this is a core part of our overall strategy and we have continued to add to our backlog in our utilities, transport and energy businesses during the quarter. These are all projects that are funded by internally generated cash flows and earn us very attractive risk-adjusted returns. As an example, this quarter in our utilities business we grew our committed projects backlog during the second quarter to approximately $435 million, which we expect to invest and commission into our regulated rate base in the next 24 months. We did that by adding almost $100 million of projects primarily at our U.K. regulated distribution business and our Australian regulated terminal. Our U.K. regulated distribution business experienced record sales activity during the period with sales of our multi-product offerings up 40% compared to the prior year. The increase in activity levels is primarily attributable to a broader recovery in the U.K. housing market which still remains below pre-financial crisis levels. Also at our Australian regulated terminal, we received approval to invest an additional $50 million on the final phase of a storm water management system. With that, I’ll turn the call over to Sam.
Sam Pollock: Thanks Bahir and good morning everyone. The focus of my remarks today will be on updating our investment activities, and I thought I’d review our investment posture for you. Last quarter, we indicated that approximately $450 million of capital was committed to be deployed into four new investments. We have made considerable progress towards closing these transactions and expect them to start to contribute to our results during the second half of the year. In mid-August, we expect to close on our investments in VLI and Macquarie District Energy as we have received all consents required for closing these transactions. VLI is a Brazilian rail and port business which will provide us with approximately $300 million of organic growth projects as the business has a substantial capital program to expand operations. Macquarie District Energy is the district energy system that provides environmentally efficient heating and cooling to large buildings in Chicago and Las Vegas. We are still waiting for regulatory consent to close our investment in the Elizabeth Container Terminal located in the Port of New York in New Jersey and the acquisition of Seattle Steam. We expect to obtain the required consents during the second half of 2014. Just after quarter end, we signed an agreement to acquire Lodi Gas Storage in California with institutional partners for $105 million. Our equity investment will be 40%, or approximately $40 million. While this is a modest investment, we believe we are acquiring the business for exceptional value. This business complements our existing natural gas storage business and we expect to achieve some synergies from combining with our current platform. We expect this transaction to close by the end of the first quarter of 2015 following completion of customary closing conditions. I would now like to discuss our investment posture as lately we’ve had a recurring question from a number of our investors regarding how much longer the investment cycle for infrastructure assets will last before we see a correction in values. While our views don’t necessarily lead to a simple answer, we can certainly see an argument for both sides of the debate. For those of us with GDP-sensitive operations in North America and Europe, it certainly feels like the recovery in economic growth is just beginning. Our European ports business has only recently shown improvement with increases in container traffic and signs of new customer investment activity, particularly in our U.K. operations. Furthermore, in both the U.K. and the U.S., we are still not seeing housing starts at levels that approach the steady-state levels we would expect; consequently, we should still experience stronger economic growth for a number of years to come which will support valuations and encourage further investments. You can also take the view that we are late in the investment cycle. The stock market in the U.S. and Canada is well into its fifth year of strength. There have been a recent spate of IPOs by companies looking to exit core assets, and the use of leverage and valuation multiples in a number of notable mergers and acquisitions are approaching levels we haven’t seen since 2005 and ’07. These are all indicators of a cycle nearing its conclusion. No one can say for certain how much longer the cycle will last or what sort of correction we could experience once interest rates start their climb from these historic levels. Our view is that valuation levels for some types of assets have been inflated by a combination of extremely low interest rates and a scarcity of infrastructure opportunities to satisfy the investment appetite of new market entrants. On the other hand, we also believe that the global economy will likely surprise on the upside, which should mitigate these factors from a valuation perspective. Our businesses are not liquid investments, and therefore we take a much longer term approach to investing than many investors. As a result, our investment and financial strategy is formulated to succeed throughout the business cycle, including conditions which currently exist; however, we believe that several of our investment guidelines are particularly relevant in this valuation environment and therefore I wanted to reiterate five of these guidelines to you. First and foremost, we remain focused on investing capital to meet our long-term return targets of 12 to 15%. We do not believe in reducing our return thresholds for the sake of making it easier to acquire assets, nor do we justify purchases based solely on our accretive cost of capital. Second, we create value for unit holders by being both good buyers and good sellers. Late last year, we recycled over $1 billion of equity capital in our business through asset sales. While we don’t expect that we’ll be selling assets every year, harvesting assets to reinvest back into our business is a core strategy. Investing capital at 12 to 15% returns and selling assets at an 8 to 10% return level is very accretive to our company’s per-unit growth. Third, we don’t pay for unrealistic growth targets. Whenever we look to make an acquisition, the seller will always portray a very rosy future for the business. We apply our expertise to forecast a reasonable expectation for growth that reflects competitive dynamics such as new market entrants and regulatory considerations. This is where many acquisition mistakes are made, in particular when capital is more freely available. Fourth, we buy high quality assets with established, proven business models and management teams that have a solid track record. We are always focused on identifying businesses with internally generated organic growth potential where we can deploy further capital at highly accretive returns. Furthermore, in an environment where odds favor interest rates increasing, assets that are fully contracted with little organic growth are the most susceptible to valuation declines. Lastly, we maintain a high level of liquidity. We currently have approximately $2.5 billion of total liquidity. We have also extended the maturity profile of our debt to an average of 10 years, and for the most part fixed our interest rates. While we incur some cost for maintaining high levels of liquidity and utilizing long-term fixed rate debt, we believe the benefits of being in a position to take advantage of market corrections far outweigh these costs. I’m going to conclude my remarks with an outlook for our business. We have built a business over the past number of years that is positioned to deliver solid results in a variety of economic environments. We are currently operating in global economic conditions that are generally pretty good. The U.S. economy is continuing to demonstrate signs of renewed growth, and we have also seen further easing of monetary policy by the European Central Bank. There are continued signs of economic stabilization within China where government officials recently expressed confidence that the government would achieve the 7.5% annual GDP growth target established late last year. The only region where we operate that has seen economic growth decelerate is South America; however, we believe fundamentals continue to support favorable growth over the longer term. On the whole, our business should perform well in this economic environment. We remain disciplined with our capital allocation and underwriting. Liquidity is strong and our business development teams are continuing to engage on a number of attractive investment opportunities. In addition, we have almost $1 billion of organic investment opportunities in our operations, which are always the lowest risk and highest return for us. With that, I’ll turn the call back to the operator to open the line for questions.
Operator: [Operator instructions] The first question today is from Brendan Maiorana with Wells Fargo. Please go ahead.
Brendan Maiorana – Wells Fargo: Thanks, good morning. Sam, so at DBCT, you guys had record utilization. What do you think that means for the prospects for additional growth capex at your Australian rail operations, and could you also maybe speak to does the high utilization do anything to rekindle the opportunity at Dungeon Point as well?
Sam Pollock: Let me just write these down for a second – okay. Hi Brendan. First, maybe the first comment I’ll make on the higher volumes we’re seeing at DBCT. I think the reason we’re seeing that is because all the mining companies right now are highly focused on bringing down their per-unit costs, so they’re focused on maximizing volumes and achieving those economies of scale, so that’s why we think we’re seeing this phenomenon take place in this particular environment. We would expect that to continue for the foreseeable future, and I believe that we’re seeing to a certain extent maybe not as widely but also taking place out in the western part of Australia in relation to our rail business as well. So I think over the next couple of years, we should continue to see higher volumes and higher utilization for both businesses, obviously subject to where the commodity prices trade. I think as far as major expansions, my view is that most of those are probably on the shelf for the time being until we see some price signals that would suggest that they would make sense. So in relation to Dungeon Point, at this stage we are still pretty much penned down as it relates to that particular large-scale expansion project. What we are doing, though, and what we’ve been thinking about for the last couple of quarters is some smaller, more incremental-type expansions that we can do at DBCT itself, so the first phase might be a 4 or 5 million ton expansion and then we’ve got some ideas around maybe how we can do a 15 or 20 million ton expansion. But they’re much more smaller and incremental than Dungeon Point, which would be in relation to much greater growth which we just don’t see at this point in time.
Brendan Maiorana – Wells Fargo: Okay, that’s helpful, so it sounds like kind of similar to what you guys put in place this quarter. I think it was $50 million of additional at DBCT. Then my second question, last question for Bahir – so just thinking about the capital backlog now and the growth capex projects, I think it’s about $900 million give or take. I forget is that’s sort of a number through the end of 2015 or if that’s a 24-month window. How should we think about the ability to finance that on a leverage-neutral basis through your cash flow and what that may mean for the dividend, because if I think about just a high level BIP perspective, your AFFO less the dividend is sort of in the low $200 millions, which would suggest to me that maybe funding this internally from just operating cash flow on a leverage-neutral basis, call it 50/50 debt to equity or maybe even 60/40, seems like you may fall a little bit shy. So just wondering with the increase in the capex backlog, does that mean you’ve got to look for some additional sources to help fund that on a leverage-neutral basis?
Bahir Manios: Sure. Hey, Brendan. Thanks for that. So as you said, there’s about $930 million of total capex in our backlog, including about $35 million in energy projects, and if you add that to our utilities and transport numbers that we disclosed in our supplemental, you get about $930 million. These numbers will be invested over the next two to three years. As you’ve correctly pointed out, they will be funded, say, on average by 50%. Typically your utilities projects will be funded with 60 to 65% debt, and transport and energy projects will be funded by, say, 40 to 50% debt to equity, so on average, you’re right – about 50%. So over three years, and if I look out to our forecasted results and just keeping with sort of our methodology of retaining 20% of FFO that we generate in our business, retaining that back into our business and reinvesting in these projects, we don’t think we will be in need of any fresh new capital, and that’s also in addition to about $760 million of retained cash that’s in the business that today we have. So we do have currently a lot of cash in the business, and in addition to that in the next three years we’ll be generating some pretty good cash flows that will be sufficient to fund this approximately $930 million capex backlog.
Sam Pollock: Maybe just to add to that, a significant amount of this backlog relates to our Brazilian toll roads where we have lines of credit with BNDS specifically set aside for these expansion projects, as well as a significant amount of cash that we have prefunded that sits down there as well to fund the capex. So that probably skews the numbers a bit, but most of that capex has already been prefunded through those two mechanisms.
Brendan Maiorana – Wells Fargo: Okay, all right. Very helpful. Thanks guys.
Operator: The next question is from Andrew Kuske of Credit Suisse. Please go ahead.
Andrew Kuske – Credit Suisse: Thank you, good morning. Just want to sort of step back a little bit and think about your capital allocation on a global basis and how you’re thinking about just some of the currency moves we’ve seen recently. So we’ve seen the euro pull back a little bit, some of the LatAm currencies are still somewhat depressed relative to what they were a few years ago. So how you do you think about that in terms of allocating your dollars on a—say, the next few years relative to, say, quote-unquote more normalized levels of some of those currencies?
Sam Pollock: Hi Andrew. As it relates to currencies themselves, we take a much longer term view when thinking about where they sit at this particular point in time. I think whenever we make an investment, long term growth rates, inflation and currencies are all factors that go into our underwriting analysis, but I’d say the currency side of it is one that if we think that we’re sitting outside of a particular band, then we’ll usually cover that off through some sort of hedging activity, particularly as it relates to the euro or the U.K. pound where we can almost always hedge that out at very low cost if we think that they are trading outside of what we would describe as a normal band. South America is obviously a little different, but today I’d say we think that the currencies down there are probably fairly attractively priced and putting aside all other factors, it would be a relatively good entry point to go into that market. But I think just sort of maybe adding to your question a little bit, we see good—putting aside valuation for the time being, we see good conditions for investing across the world. Our two most active regions at the moment are probably Europe and then maybe to a lesser extent Australia, and then we’ve got a number of, I’d say, more early stage opportunities that we’re evaluating here in North America and in South America. But all in all, we’ve got good pipeline around the world.
Andrew Kuske – Credit Suisse: Just a follow up on that, and then if we focus on the European situation, really what are the primary drivers of some of the opportunities you’re seeing? Is it corporate deleveraging or is it effectively bank deleveraging, trying to get off of some loans on their books?
Sam Pollock: It’s both, to be honest. The theme is definitely deleveraging, though. With where the bank market is today in Europe, there are some opportunities that unfortunately have gotten away from us because companies have been able to blend and extend, to a certain extent. But generally, people are either taking advantage of this point in time to sell assets to help pay down debt, or banks are giving them a bit of a push, so that is creating opportunities for us.
Andrew Kuske – Credit Suisse: Okay, that’s very helpful. Then if I may, I’d just ask one more specific question as it relates to some of your co-investor interests in some of the assets and, say, Transelec in particular. I think if we looked at that asset, it’s probably the one that’s been on the Brookfield books the longest, and so the ownership positions there. Are they coming up to the end of life of the original life of the fund before they go into the option periods, and then what does that really mean from a BIP standpoint on an opportunity to increase the capital position allocated to those assets?
Sam Pollock: So in relation to Transelec, that was an investment we’d made with three institutional partners going back probably to 2005. At the time, it wasn’t really a fund per se; it was more of a joint venture-type arrangement. It doesn’t really have a specific termination period, so the exit decisions are really dependent on each individual partners’ investment horizon. So we know our partners like that asset as much as we do, so I’m not expecting that anyone is looking to exit anytime soon.
Andrew Kuske – Credit Suisse: Okay, that’s very helpful. Thank you.
Operator: The next question is from Robert Kwan with RBC Capital Markets. Please go ahead.
Robert Kwan – RBC Capital Markets: Morning. Just when it comes to GDP-driven investments, it seems that those fit your long-term thesis quite well, and generally that leads you to the transport business and maybe a little bit more away from the utilities business. I’m just wondering how you think about balancing the percentage of the investment from each of those different asset classes, if you do at all, and if you do have some targets, what type of goalposts are you looking at in terms of balancing the two?
Sam Pollock: Hi Robert. We don’t have any specific objectives around or targets around balancing one asset class to another. I’d say our investment philosophy has always been much more opportunistic, and we have just found that over the last 12 to 24 months that the better value opportunities for us have been in the more GDP-sensitive businesses because people have been paying an extremely high valuation for contracted cash flows, which I think we see both in the public markets and in the private markets. But cycles change. I think once interest rates move, you could see that change and people’s concerns around that could result in more opportunities for us to invest in utility-type transactions. Obviously we’re able to add to our utilities business through our capital backlog, and so they continually organically grow and make up a meaningful portion of our organic growth. Even though we may not do as many utility-type transactions, we are continuing to seek them out and we will from time to time make investments, and often they can be large. So that’s probably a long-winded answer for what you asked, but I think the short answer is there is no target and I think you need to look at our investment program over a much longer term time frame than just the last 12 to 24 months.
Robert Kwan – RBC Capital Markets: Okay, and just to be clear, if it’s not necessarily between utilities and transport or energy as well, is there a level of exposure to just GDP-driven assets that would get you uncomfortable?
Sam Pollock: I don’t think so, and I apologize if there’s noise in the background here – we’ve got the air conditioner on in the room here. But I think the thing you need to keep in mind, Robert, is that even for our GDP-sensitive businesses, they are all highly contracted and/or regulated entities, and so you shouldn’t necessarily conclude that the cash flows have a lot of volatility to them. Examples such as our district energy business, which we might describe as GDP-sensitive because a lot of our new contracts come on—or new customers come on because of new buildings that are built, so it has a sensitivity to the economy but besides that, all of our existing customer base is locked in for 20 to 30 years and the cash flows are to a large extent indexed to inflation. So you know, I think it’s just—you need to be careful in concluding that GDP-sensitive is volatile. That doesn’t necessarily mean that.
Robert Kwan – RBC Capital Markets: Okay. Just a last question here, when it comes to your U.K. regulated distribution business, you cited the multi-product offering. Is that just the fiber side that Inexus brought to you or is there something else, and is this selling additional services to existing customers or is this more driven by an expansion of the footprint, just offering more services as you roll that out?
Sam Pollock: So today we have five products. Two we had prior to the acquisition of Inexus, so we always had gas and electricity and those still remain the main multi-product offerings that we sell to customers. Since the acquisition of Inexus, we added three new products – one is fiber to the home, one is water, and the last one is district energy. District energy typically sells on its own because it targets a different type of residential property, but we could and do in fact offer the other four to our customers; and I’d say we have—water is a much more niche, smaller product for us, but the one that is continuing to grow, albeit it will take some time before I’d say it’s hugely meaningful for our results, but fiber to the home is probably the one we’re most excited about. But today gas and electricity are very established, and I’d say in most cases we sell both of those to our customers when we do a sale.
Robert Kwan – RBC Capital Markets: And what’s the fiber penetration rate to the existing customers, i.e. how much running room do you have for kind of above-average growth as you sell through to existing customers?
Sam Pollock: Well today, the penetration is quite modest and in fact because of the relative infancy of the regulation around it, from a profitability perspective it really only is economic for customers with larger entitlement schemes. So we’re hoping that with further work that we’ll do with the regulator where we can improve our access points, that we in fact can make this more economic to much smaller schemes and then our penetration will rise substantially. It’s still relatively new. I think this is something that hopefully we’ll be able to provide you greater transparency on over the next couple of years.
Robert Kwan – RBC Capital Markets: Great, thanks Sam.
Operator: The next question is from Bert Powell with BMO Capital Markets. Please go ahead.
Bert Powell – BMO Capital Markets: Thanks, good morning Sam and Bahir. Just a question on the toll roads - $341 million is your capital backlog, and I’m going to assume most of that is for Brazil. I’m just wondering, can you walk us through how that capital goes in and the lag between the increasing and widening of lanes then turns into FFO? I would assume increasing a road, you can start tolling right away; widening is a judgment call around utilization of the toll roads. I’m just wondering if you can help us think about how the return on that capital flows.
Sam Pollock: Okay. There’s really two elements to it, Bert. The first element relates to higher tariffs that we get from what they describe as rebalancing, which is when we extend the capital, the regulator will allow us to adjust our models where we can increase tariffs, and that obviously gets collected over the life of the concession. So it’s somewhat of a mathematical analysis that we do with the regulator, but it would be over, let’s say, the remaining 20 years of the concession, so that’s obviously a very large component to it. The second component, which can happen relatively quickly, is that when we do an expansion and de-bottleneck a road, there is often sort of a step change increase in volumes that takes place. This can happen quite quickly following one of these widenings, and they are very specific examples but we have a number of roads such as Régis Bittencourt, which is one of the roads that connects Sao Paulo with Curitiba. There, there is a couple of choke points where traffic is extremely dense and as a result just discourages people from making the trip, but once you complete an expansion, what we’ve seen in other roads is that the experience of traveling from A to B becomes that much better, that it just results in people now making that trip, whereas today the only people who would take the road were the people who just must use it. So that’s obviously hard to predict as far as what the quantum of that will be, but those are really the two examples of how it takes place.
Bert Powell – BMO Capital Markets: Okay, that’s great. That gives a little bit of color on that front. Just wondering in terms of your ports commentary, I assume most of that relates to PD ports, but how are euro ports doing outside of the PD ports?
Sam Pollock: I’ll start on this one and Bahir can jump in as well. You’re correct in your first statement that the stronger of the operations has been our U.K. operation where we have really seen a change in the economic situation in the U.K. over the last six to 12 months. I think it really started in the fourth quarter of last year and has really carried through to this year, and it looks quite promising for the next little while. The experience in euro ports in the European continent is, I’d say, mixed. There is—as far as trade goes, we’re starting to see some improvement, albeit lower than what we have seen in the U.K.. But you know, it’s a much more diverse business and so there is always specific situations such as weather conditions in Spain that can impact the amount of generating that comes through hydro versus coal generation, whether or not the coal plants are operating. If the coal plants are operating, then there’s reduced coal imports, which is what we’ve seen, and that’s impacted our numbers. So it’s harder to draw a comparison on the economic conditions of Europe with our operation specifically, but I think our business in Europe as a whole has been very steady, and we’re expecting that with the better economy and hopefully none of this noise with weather or whatever, it will result in better results over the next couple years.
Bahir Manios: Bert, I’ll just add to that – so volumes have stabilized, as Sam said, so the EBITDA levels were essentially flat to slightly up year-over-year, and we get more benefit at the FFO line item – you’ll recall that financing that we did last year where we deleveraged the business and also reduced our cost of carry there. So as volumes ramp up in the next little while, we’ll also get that added benefit as well because our FFO there is going to pick up additionally just because of the financing that we did.
Bert Powell – BMO Capital Markets: And Bahir, just while I’ve got you, last question on other income in the corporate side. You had kind of a better than expected quarter there. Can you—is there anything that you can call to say that this is a normal level, or what are the one-timers that are contributing to that in the quarter, if there’s any?
Bahir Manios: Sure. So Bert, we’ve got about—it ranges between $275 million to $325 million. That’s the total size of the investment program. From a current yield perspective, we target 4% to 5% returns, and from a total return perspective we’re targeting 8% to 10% returns. During the quarter, you’re right – income was $10 million. I would say that’s a little bit outside as we did realize some gains on certain positions that we sold during the quarter, so on a normalized basis I think modeling a 4% to 5% current yield on that investment program will be good, realizing that in certain quarters we could surprise on the upside if we did realize on any positions.
Bert Powell – BMO Capital Markets: That’s perfect, thank you.
Operator: The next question is from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien – Raymond James: Good morning, guys. You mentioned that sales activity was up 40% for your U.K. regulated business, but I suspect this is probably coming off a low base. Can you provide more color on the strength you’re actually observing and whether we can expect this improved sales activity to have somewhat of a material impact on your results in the second half?
Sam Pollock: Hi Frederic. I’d say that the real driver for the sales activity has been the improvement in the economy of the U.K. and in particular in homebuilding. We had, I think, some slight benefit this quarter because of some pricing changes that we were going to institute in the fall, so my understanding was some of the developers advanced some of the sales to lock in that price. But generally, our expectation is that the housing starts in the U.K. will remain strong for the foreseeable future. They’re still, as we mentioned in our remarks, at levels below what we would describe as steady state. I don’t expect that our market share will drop or increase from the levels we’re at now, so I think we’re at a level of penetration that’s pretty sustainable.
Frederic Bastien – Raymond James: Okay, thanks. The second question I have regards NGPL. There has been little mention of it today. Has your view on the business changed fundamentally?
Sam Pollock: Short answer is no. I think what has changed from quarter to quarter – you know, last quarter we talked about how with the extremely cold and long winter that we had, that storage levels had dropped to the lowest levels we’d seen, I think in history. So we were predicting that it was unlikely that we would see injection levels take storage levels back up to where they were at the end of last year, so we probably could have greater volatility and higher prices, which would all be great for our business. As you know, the summer has seen very temperate weather conditions in the northeast and injection levels as a result have exceeded what we probably would have expected a few months ago. So while storage levels probably won’t get back up to where they were, I don’t think they’re going to be at the drastically low levels that we and others were predicting. So I think we’re probably in for another year of relatively modest volatility. Obviously we hope that I’m wrong and that there will be better volatility, but unless we get some real scorching weather soon, my expectation is that we’ll probably see gas prices and volatility at levels that maybe are a little better but comparable to what we’ve seen in the last couple years.
Frederic Bastien – Raymond James: Great, thanks Sam. That’s helpful. Thank you.
Operator: The next question is from Cherilyn Radbourne from TD Securities. Please go ahead.
Cherilyn Radbourne – TD Securities: Thanks very much. Good morning. First question is just on VLI and the $300 million of growth projects there. I assume that that’s at share, and I was just curious over what time frame you’d expect to deploy that capital.
Sam Pollock: Hi Cherilyn. So to answer your first question, yes, that’s our share. I think for the whole business, it’s a very substantial program of about 6 or 7 billion (indiscernible), and the time frame for completing all the projects is anywhere between five and seven years. So the $300 million that we spoke about really relates to that five to seven-year time horizon. Our expectation is that a good chunk of that will be at the front end, but we haven’t yet had an official board meeting so the exact timing of those programs, we still need to work out with management and our partners. But that hopefully gives you a bit of a sense of how those numbers fit in.
Cherilyn Radbourne – TD Securities: Okay, and just to come back to the currency discussion earlier in the call, you do continue to be well hedged on your non-Latin American currency exposures, and I’m just curious why you aren’t hedging the Latin American exposure, whether that’s a cost issue, to your earlier point, or a view on the currencies or both. 
Sam Pollock: It’s primarily a cost issue. I think we’ve seen some pretty substantial corrections to date, and most of the currencies are within a band that we think is relatively what we’d describe as normal. So our treasury group, while obviously cautious about the environment, nonetheless recommends that we maintain the current stance.
Cherilyn Radbourne – TD Securities: Okay, and then last one from me – you do note in your commentary that the use of leverage and valuation multiples on some recent deals has approached prior peak levels, and I think we’re all aware of some of those examples. Just curious how vulnerable you think some of these deals are to a change in economic conditions or interest rates or both, and are we setting ourselves up for another period of distress at some point?
Sam Pollock: Well, I don’t have a crystal ball so I can’t say how things will unfold, and there is no doubt that some of the transactions have been fueled by higher debt levels; but I’d say if there is a silver lining, it’s the fact that most of the higher valuations have been funded from equity and as a result of new entrants using lower return expectations than they would in the past. So I think there is a risk for some of those investors who will need to realize on their investments in the short term that they could experience losses, but I think some of them also are long-term investors and they may in fact hold onto their assets for a much longer time horizon, so we won’t really see the impact of those results. I think it will be the equivalent of them having bought long-term bonds and just having to wear the mark-to-market losses. But you know, at this stage I can’t predict any sort of negative systemic issues that might come out of this higher valuation period.
Cherilyn Radbourne – TD Securities: Thank you. That’s all from me.
Operator: There are no more questions at this time. I will now turn the call back over to Mr. Pollock for closing comments.
Sam Pollock: That’s great. Thank you, Operator, and thank you for everyone on the call for participating today. We look forward to speaking with you again next quarter and reviewing our progress. Have a nice summer.